Operator: Ladies and gentlemen, thank you for standing by and welcome to MeridianLink's Third Quarter 2022 Earnings Call. At this time, all participants are in listen-only mode. After the speakers' presentation, there will be a question-and-answer session. Please be advised that today's conference is being recorded. I would now like to turn the conference over to your first speaker today, Erik Schneider. Erik, please go ahead.
Erik Schneider: Good afternoon and welcome to MeridianLink's third quarter fiscal year 2022 earnings call. We will be discussing the results announced in our press release issued after the market closed today. With me are MeridianLink's Chief Executive Officer, Nicolaas Vlok; Chief Financial Officer, Sean Blitchok; and President, Go-To-Market, Chris Maloof. Before we begin, I'd like to remind you that today's conference call will include forward-looking statements based on the company's current expectations. These forward-looking statements are subject to a number of significant risks and uncertainties and our actual results may differ materially. For a discussion of factors that could affect our future financial results and business, please refer to the disclosure in today's earnings release and the other reports and filings we file from time-to-time with the Securities and Exchange Commission. All of our statements are made based on information available to us as of today and except as required by law, we assume no obligation to update any such statements. During the call, we will also refer to both GAAP and non-GAAP financial measures. You can find the reconciliation of our GAAP to non-GAAP measures included in our press release, which is posted to the Investor Relations section of our website. With that, let me turn the call over to Nicolaas.
Nicolaas Vlok: Thank you, Erik. Good afternoon and thank you all for joining us. I am pleased with our performance in light of challenging macroeconomic conditions. We believe our third quarter results demonstrate the resilience of our business model and we remain confident in our long-term growth opportunities. We delivered solid results while advancing our strategic initiatives during the quarter. MeridianLink completed Q3 with GAAP revenue of $71.8 million, up 7% year-over-year, and 36% adjusted EBITDA margins. Our consumer lending business remains strong growing at 21% year-over-year led by ongoing strength in personal and other non-vehicle loan types. We have experienced the fastest and largest relative increase in mortgage interest rates in history and currently seeing rates at a two decade highs. A consequence of these higher rates has lower mortgage application and lending activity, which drove mortgage related revenue down to 21% of total revenue in the quarter. Sean will walk through our Q3 financial performance in more detail, but first I will focus on key highlights of our business and where we are investing for the future. We see opportunities in current conditions given that deposit taking financial institutions have higher net interest margin today, we expect demand for our consumer lending business to remain strong as customers and prospects seek ways to more effectively engage with their customers across the entire array of loan types. We can see this momentum in our pipeline and successful bookings. Additionally, we continue to invest to capture a disproportionate share of our $10 billion TAM while maintaining best-in-class margins. In particular, we believe the opportunity exists now to create a differentiated alternative to the current mortgage lending software market leader by providing more advanced, more open and more customer friendly capabilities. This is why we announced today the acquisition of OpenClose, a leader in mortgage lending technology, with a particular focus on supporting depository institutions. We will discuss this more in detail in a little bit. As we have outlined, we have three ongoing areas of specific focus to drive accelerated growth. First, engaging more deeply with our customers. Second, expanding the capabilities of our platform. And third, empowering our customers to grow more quickly and better serve their communities. Our top priority is engaging with our customers and prospects to ensure we can best serve our markets. These conversations are an integral part of our go-to-market motion and we proactively facilitate them on an ongoing basis. This is why we can continue to invest in customer success as one of our priorities, and we are seeing the benefits as customers are increasingly turning to MeridianLink to provide their full consumer lending experience. A few recent ones include a longstanding credit union customer of our ML consumer modules with over 33,000 members decided to modernize their mortgage processes. They extended their footprint by adding MeridianLink Mortgage to take advantage of our patented debt optimization technology while benefiting from the increased synergies of a deeper integration and a better cross-selling functionality. In another example, one of the larger transactions in the quarter was with an existing DecisionLender customer. As you know, we gained this leading indirect lending functionality as part of the TCI acquisition. This customer sold a new solution for direct consumer lending and account opening. Our multichannel functionality and integration won the day. These are just a couple of the many wins in the quarter. We continue to see that meaningful engagement with our customers provides both immediate and long-term value to the market. We have been investing heavily for the last few years to expand our platforms' capabilities with innovative functionality. As a prime example, we have been moving our solutions from hosted environments to the public cloud while updating the user experience to reflect modern design and workflow. We unveiled MeridianLink One in 2021 as our cloud-based multi-product platform standing the digital consumer learning journey from account opening through marketing loan origination and decisioning. MeridianLink One breaks down the silos that originally separated the parts of our business and reflected the divisions we often see in the market. We are proud to announce a quarter ahead of schedule, the completed migration of the original MeridianLink One functionality entirely to the public cloud. We are excited to bring the cloud benefits of increased security, speed and scalability of deployment to our customers sooner than expected. By expanding our platforms' capabilities, we attract new logos and drive cross-selling, which together drive more volume and revenue for MeridianLink. Finally, MeridianLink empowers our customers to compete, grow and succeed in each market in which they participate. We have a track record of enabling our customers to win more clients and capture a greater share of their clients' wallet by providing best-in-class functionality, flexibility and automation. While some of our customers are early in their digital transformation, others are looking to optimize their clients' journey to enable a touchless lending experience. In Q3, we saw both accelerating software module delivery to customers and increased uptake of the services and functions to more deeply automate lending processes. In particular services revenue hit a new high watermark as software projects delivered in the quarter were 50% higher than in Q1 of this year, and we delivered an integration with MX Technologies to provide for a more highly automated account opening process as our customers continue to see strong new account growth. Now I want to turn to our announced acquisition of OpenClose. I've had the opportunity to spend a good deal of time with the leadership team and I'm thrilled to be joining forces with such a knowledgeable and customer focused group. With our complementary product strengths and customer basis, we expect current customers of both organizations to benefit from the combination in the short and long term. I know I have said this before, but I want to emphasize this point. The diversity of our business and strong unit economics enable sustained investment in critical growth and scale initiatives across the economic cycle. The OpenClose acquisition and integration will create a premier solution that will increase our win rate and drive cross-sell motion within the depository market. To conclude, Q3 was another strong quarter for MeridianLink. We accomplished several milestones and remain focused on engaging with customers to help prioritize investments that expand our platform capabilities and revenue opportunity. MeridianLink is a customer focused business and our fly will start with a focus on empowering our customers to compete and better serve their clients and communities. We invest to serve our customers needs, which generate more revenue for us as those investments drive better solutions for their clients. Before turning the call over to Sean, I would like to recognize the MeridianLink team for achieving the Great Place to Work certification for the third year in a row. This award spotlights the culture and community at MeridianLink positioning us well for future success. Now Sean will review our financial results and guidance including near-term expectations for OpenClose.
Sean Blitchok: Thanks, Nicolaas, and thank you again to everyone for joining us on the call today. I'd like to start by echoing the comments made by Nicolaas. MeridianLink has before a largely untapped market opportunity to drive to $1 billion and beyond. We continue to balance cost discipline and strategic investments. Near-term we're closely monitoring how macroeconomic conditions are affecting the market. We will continue to tightly control what we can while providing transparency and predictability for our business. As for third quarter results, we generated total revenue of $71.8 million, up 7% year-over-year, driven primarily by increased consumer lending transaction volumes and product go-lives. This is in line with the reported overall growth last quarter despite the continued decline of mortgage market lending. And the mortgage loan market continues to be a headwind. Down 22% from last year, it accounted for 21% of overall MeridianLink revenue in the quarter roughly in line with our expectations. More specifically, mortgage related revenue in the quarter accounted for 6% of our lending software solutions and 62% of our data verification solutions. Lending software revenue accounted for nearly 73% of our total revenue and grew 17% year-over-year. Excluding the impact from the greater than anticipated slowdown in mortgage related revenue, our Lending Software Solutions grew 20% year-over-year, our highest rate in FY 2022. Adjusted gross margin in Q3 was 69% in line with expectations. Accounting for stock-based compensation, GAAP gross margin was 61%, our non-GAAP operating income was $12.1 million and our GAAP operating income was $4.5 million. Adjusted EBITDA for the quarter was $25.9 million, representing an EBITDA margin of 36%. This reflects ongoing cost structure discipline, which allows us to focus spending growth on generating demand and delivering our product roadmap. We strategically invested 38% more in sales and marketing and 28% more in R&D compared to the third quarter of last year adjusted for stock-based compensation. We expect a strong long-term return on these investments, but continue to examine each expenditure on its individual merits. Now turning to the balance sheet and cash flow statement. We ended the third quarter with $115.8 million in unrestricted cash and cash equivalents, up $15.5 million from the end of the second quarter. Operating cash flow in the third quarter was $19.6 million and free cash flow was $16.9 million, or 24% free cash flow margin. In the trailing 12 month period ending in the third quarter, operating cash flow was $88.1 million and free cash flow was $79.4 million, or a 28% free cash flow margin. MeridianLink's current cash position and ongoing cash generation provide protection in this period of uncertainty while enabling targeted investments for us to build value for our customers and shareholders. I'll now pivot to guidance for Q4 and an update for the full year of 2022. Despite strong momentum in our pipeline and consumer volumes, we saw a mix shift in our volumes that created a top-line headwind for the business in the second half. For the fourth quarter, estimated total revenue excluding the acquisition of OpenClose is expected to be between $65 million and $67 million compared to $64 million for the same period in 2021. This represents an estimated increase of 2% to 5% year-over-year. For the full year 2022, we are expecting total revenue between $282.5 million and $284.5 million compared to $267.7 million for the same period in 2021. This represents an estimated increase of 6% year-over-year. We are continuing to add new customers in increased module penetration among our existing customers at a new level that more than offsets the historic decline in mortgage market volumes. Calling short-term moves in the mortgage market precisely is difficult. Yet we have reflected an incremental decline of the mortgage market in our guidance. We expect the mortgage market to contribute approximately 18% of revenue for the fourth quarter of 2022 as rates continue to rise across the third and into the fourth quarter. I would be remiss if I didn’t welcome our colleagues at OpenClose. This combination is extremely exciting and reflects our confidence and driving value in the mortgage lending market. Currently, OpenClose delivers approximately $1 million per month in revenue and has been growing at a high-teens rate throughout this year. On a standalone basis, the company is slightly better than EBITDA neutral and we intend to reinvest synergies into building a robust market solution for the future. On a non-GAAP basis, our fourth quarter estimated adjusted EBITDA is expected to be between $19 million and $21 million, representing EBITDA margins of approximately 30% at the midpoint. Our first [ph] quarter is typically a seasonal low in both platform volumes and new customer go-lives, both of which will affect our reported EBITDA in the quarter. For the full year 2022, our estimated adjusted EBITDA is expected to be between $107 million and $109 million representing EBITDA margins of approximately 38% at the midpoint. With that, Nicolaas, Chris and I are happy to take any of your questions and I’ll turn it back over to the operator.
Q - Bob Napoli: Thank you and good afternoon. I guess trying to just understand whether or not there’s any market share in your guidance. Obviously the mortgage market has slowed down, but how much different is the mortgage market and is your market share in mortgage and your other products has that held?
Nicolaas Vlok: Hello, Bob, this is Nicolaas and thank you for the question. I’m not sure we fully understand the question. Is it comparing mortgage LOS to our consumer LOS?
Bob Napoli: No. I’m sorry. Just trying to understand whether your market share in the mortgage market whether you feel like the, obviously the mortgage market’s more difficult, but is the market share with MeridianLink changed? So is the reduction in revenue and your guidance just from the macro of the mortgage market? Or is there some market share loss in mortgage or in any other product?
Nicolaas Vlok: Understand now. I appreciate the clarification. There’s no change. We continue to do well. We actually, part of the reason for the OpenClose acquisition is to continue to invest where we feel there’s a down cycle and it positions us to capture incremental market share in depository taking institutions. So from my perspective, this is a volume driven impact. If you followed MBA and other industry data sources, you’ll see that there’s a recent call down as late as October 23, where it’s one of the bigger call downs by MBA. So this is all driven by what we seeing in the market from a volume standpoint, as well as if you follow the data that that has been published by MBA, you’ll see that the trough is now not in 2022, but it’s extending into 2023. So that’s the conservatism that you’re seeing from our perspective.
Bob Napoli: And then on the, your auto business, I mean, the auto market has been pretty, pretty tough as well. What if the trends been in your auto business versus the market? And then just lastly, if you could give any size of the OpenClose deal. I know you gave the revenue, but I was wondering if you can give any fuel for the purchase price.
Chris Maloof: This is Chris. So first speaking to your question on auto. Auto has remained consistent and consistently strong this year, and we’re seeing health improvements in the auto industry going forward. So more recently we’ve seen that the inventory has increased on new by over 50%, and that pretends well for our success to continue in the future. Now, I’ll pass it on to Sean to talk about the OpenClose financials.
Sean Blitchok: Yes, this will be in our queue. The OpenClose purchase price was $65 million. So this deal is one we’re investing in the dip. We saw a lot of value and continue to see a lot of value going forward in the combined company. It gets us to an at scale solution or approaching an at scale solution for the mortgage products, and they really had complimentary set of features for us. And so $65 million is the purchase price. But again, it was a lot of value in the acquisition.
Bob Napoli: Thank you. Appreciate it.
Operator: Your next question comes from Alex Sklar from Raymond James. Please go ahead.
Unidentified Analyst: Hi, this is Jessica on for Alex Sklar. Just want to also like touch upon the OpenClose acquisition again. Can you talk about like your decision to go deeper into the mortgage business? It seems to be an area you’re talking about that diversifying away from as the year progresses. So what more does the OpenClose acquisition bring to you functionality wise? Or is it more of an opportunity to buy factoring into the macro? Thanks.
Chris Maloof: This is Chris. So first and foremost, we’ve maintained healthy momentum from a unit sales perspective of the last few years and mortgage. And as we go out into the market and look for opportunities to grow the business, OpenClose came to bear, and it came to bear at great value given the market conditions. And that combined with our current unit sales momentum led to the ultimate decision. Now, when we think about the go forward on – and what are – how do we think about from a solution set to maximize our potential on the market? OpenClose and MeridianLink have highly complementary end markets. So OpenClose leans a little bit more heavily towards depositories, which is highly complementary to the MeridianLink One customer story and MeridianLink Mortgage tends slightly over to the independent mortgage bankers side. So there’s some nuances between those two that we’ll bring together that will add more value to our customers, and being more specific over the short term, we plan to leverage OpenClose is point-of-sale and configurable point-of-sale for all of the customer base as well as for on the MeridianLink Mortgage side, we have a great position from a competitive perspective on our pricing and packaging engine to serve the broader market. So that’ll be the, our first foray into bringing the best IP together for both customer sets going forward.
Sean Blitchok: Yes, and this is Sean. I’ll just add that competitively, this really puts us in a unique position, right? So, I think this puts us in a position to compete with our top competitors going forward in the combined company.
Unidentified Analyst: Got it. Thanks. With a follow up question as well. So with the MeridianLink back to like wrapping up your migration, I was curious, are there any other areas you’re looking to like organically investing and how you grow the growth probability around MeridianLink One platform?
Chris Maloof: This is Chris. I’m very excited, one on completing the cloud migration. And then second and equally exciting is bringing up the R&D capacity that was involved in moving to be a cloud native infrastructure. So that that capacity will be directed towards supporting our customer promise, which again, as Nicolaas and Sean highlighted, is around enabling our customers to out compete for consumers. And we do that through speed. If you are fast in how you engage your consumers, you can help them, you can help our customers win. And we’ll do that three ways from an R&D perspective. First is enabling tools around instant decisioning. The second is supporting, the first is the back office automation and verification tools that enable that instant decisioning. And then finally third, now that we’re in a cloud infrastructure, and this is coming to reality today, is we’re able to provide our customers benchmarking at how they’re performing at every stage of the origination process. So they know where to invest and where to partner with us to help realize that result of speed. And one thing that really plays out well in this is our goal on speed, helping our customers grow directly ties into our pricing model where when our customers grow MeridianLink grows.
Nicolaas Vlok: Yes, I agree. I’ll just add one other comment. In terms of organic growth, I said this in my prepared remarks as well, but sales and marketing grew 38% year-on-year. And that is a really key strategic investment for us. And so we – with volumes down in mortgage as an example, this is an excellent opportunity to what I call sell through it, right, and increase the installed base. And we continue to build out our sales leadership team. We are redefining our go-to-market motion. And there will be our bookings our pipeline continues to look strong and will get stronger over time because of this investment. So agree wholeheartedly on the R&D and the roadmap piece. And there’s also the go-to-market piece, which I think is critically important as well.
Unidentified Analyst: Thank you.
Operator: Your next question comes from the line of Parker Lane from Stifel. Please go ahead.
Max Osnowitz: Hi, thanks. It’s Max Osnowitz, it’s on for Parker. Staying on the OpenClose topic, how will the solutions thinking on the future? How will the solutions price in with the solutions you currently offer? And then how will – how should we consider kind of the EBITDA to hopefully be accretive once kind of brought into your business model?
Nicolaas Vlok: So coming out from a price perspective, I find that both solutions are competitively priced in the market and we’re within the pricing we have, we’re realizing economics that we find favorable as well as gaining our unit momentum. So, I don’t expect any change, material changes there beyond our normal price increase rhythm as we invest in our products and create more value for our customers. And I’ll hand on to Sean on the EBITDA realization aspect.
Sean Blitchok: Yes, I mean, clearly we’re not guiding to 2023 our earnings for Q4, our EBITDA neutral, but we do have plans for the combined company, obviously. In terms of synergies, we also, I think we’ll see a lot of top-line synergies from the combined company. Again, kind of the – from a product perspective, complimentary products a broader customer set. And so while, again, we’re not going to talk about the go forward FY 2023 numbers, I think you can start to see where EBITDA will improve through both the top and bottom line.
Max Osnowitz: Got it. That’s it for me. Thanks
Operator: Your next question comes from Nik Cremo from Credit Suisse. Your line is open.
Nik Cremo: Hey guys, thanks for taking my question. I just wanted to dig into the strength and lending solution and ex mortgage holding of nicely. I was wondering if you could break that out between, it’s kind of like a same-store sales from existing customers as well as contributions from new customers. And then related to that, I mean a lot of positive commentary on the pipeline. I was curious as to what kind of revenue visibility you have going into 2023, excluding the mortgage market? Thank you.
Sean Blitchok: Hey, Nik, it’s Sean. So, can you repeat your first question? I just want to make sure I’m answering the question appropriately.
Nik Cremo: Yes, sure. So the strong growth in lending solutions ex-mortgage and the quarter, how much of that ballpark was from new customers that you didn’t have last year versus existing customers?
Sean Blitchok: So a lot of it is same-store sales is what I would say. We do our bookings this year with new customers, we don’t disclose bookings, but I would say, we are seeing a healthy amount, especially given the market. But most of it is coming from same store sales. And that is in line with the volume that we’re seeing. We’re seeing healthy volumes with our existing customer base that’s supporting the top-line, especially in consumer. And then, sorry, I just lost your second question as well.
Nik Cremo: No worries. There’s just a lot of positive commentary on the call just regards to the pipeline and the success you guys had in growing it. I was curious as to what kind of revenue visibility that gives you going to 2023, kind of backing out the uncertainty with the mortgage market?
Sean Blitchok: Yes, sorry about that. So in Q3 we had a really good quarter. We have a strong pipeline for Q4. So, we have good line of sight into FY 2023 in terms of revenue, I think there’s always a how fast can you turn it on component? So one thing we haven’t talked about, is our backlog and services, which actually had a really good quarter in Q3 backlog came down where we’re performing with velocity inside of the services organization. I do think with the bookings and the new pipe that we’re seeing in Q4 it’s yet to be seen where backlog lands. But to answer your question specifically, good visibility into FY 2023, right now what we’re grappling with more is the predictability around the volumes.
Nik Cremo: Understood. Thank you very much.
Sean Blitchok: Yep. Thanks, Nik.
Operator: Your next question comes from the line of Andrew Schmidt from Citi. Please go ahead.
Andrew Schmidt: Hey guys, good evening and thanks for taking my questions. First I want to start off, just about, just demand in terms of where you’re seeing sort of the pipeline across consumer LOS, I remember, I think last quarter you mentioned strength of HELOC and things like that, but just curious if there’s any sort of changes in terms of where we’re seeing demand along the platform? Thanks.
Chris Maloof: This is Chris. Demand has remain very consistent, and I think you’ll see this as you look across the broader bank continuum, is that they continue to invest from an IT budget perspective, particularly on digital transformation. And this is reflected in our pipeline. So that’s looking from ML consumer perspective, it’s largely consistent. And when you look at the mortgage component, we see consistent demand or even increasing demand from a depository perspective as those organizations look to retool. And then on the independent mortgage bank side, we’re targeting organizations that, that have the scale such that they can make that investment. So it’s largely unchanged, and if I was to call out any change at all is, we have seen an uptick in our home equity demand as some lenders look to create a broader portfolio. One example is, we just went live with low depot on their home equity product that said to largely unchanged and we’re making investments accordingly.
Sean Blitchok: Yes. And I’ll just add, one of the things that I’ve been pleasantly not surprised, but it’s good is that profile has remained unchanged, especially given the mortgage market. So while, there are things like volumes that we can’t control that are more macroeconomic what we can control is, what we sell and in our installed base and the projected pipeline going into 2023 is very healthy around mortgage. And so, consumer continues up until the right mortgage has been healthy as well. And so I think it’s, again it speaks volumes to the acquisition our competitive position and the combined company going forward and what it’s going to be able to do, what the opportunity is, when it, when to a point where there’s a leveling off and even an increase in the volume around mortgage.
Andrew Schmidt: Thank you for that. And that’s actually a great segue into my next question. One of the flip sides of the sort of decrease in loan volume and revenues associated with that is that you might have a little bit better visibility if that kind of starts to bottom out eventually at some point. So is there a framework we can start to think about in terms of long-term growth? Or any updates in terms of how you think about long-term growth as we see mortgage start to hopefully settle out in the foreseeable future? Just curious to get, any updated thoughts there. Thank you.
Chris Maloof: This is Chris. I assume this is a question around volumes. So, I’ll answer it in two parts. One, reinforcing what Sean said, we’re going to sell through this drop and we’re going to leverage it as an opportunity to grow this business and invest in it. And then the second element is, I always think about the mortgage market as purchasers are relatively consistent over time, although more recently that has proven to be difficult as the system saw a shock due to the quick increase in interest rates. It’s refinances that go up and down. So, as I look forward to the, as I look into the future, when refi’s come back, as they always do, we’ll be very well positioned to capture those economics and then again, reinvest in the business for first future growth.
Andrew Schmidt: Okay. Thank you very much guys.
Chris Maloof: Thank you.
Operator: Your next question comes from Matt VanVliet from BTIG. Please go ahead.
Matt VanVliet: Yes, good afternoon. Thanks for taking the question. I guess first are you seeing any kind of either calibration or kind of studying out of your customer’s willingness to get out there and more aggressively market different lending products and sort of how that’s met with consumer demand now that rate, the rate of change of rates has slowed and are they sort of a little more comfortable with, putting as much capital to work here to get lended out? Or are you still seeing people kind of sitting back, waiting for rates to move even higher before they maybe more aggressively push to get more, especially on the consumer side lending done.
Nicolaas Vlok: Hi Matt, this is Nicolaas and great question. We are not seeing a change in demand environment right now. The momentum is there as Sean and Chris reference a strong third quarter in bookings, and we continue to see pipeline build. Also from an overall standpoint, remember our customers are largely depository taking institutions and they do well with the largest spread. And what we’re seeing today, is not a slowdown in the digital transformation. In fact, there’s an interest for customers to continue to engage and invest while this period of call, this location exists from an economic standpoint.
Chris Maloof: This is Chris as well. From a consumer marketing perspective, going back to our customers, our customers target consumers on the higher end of the credit profile and given the health of those consumers there, there hasn’t been a reason for them to back off from that approach. And I haven’t heard consumers bring that up yet or customers bring that up yet.
Matt VanVliet: Okay. Very helpful. And then obviously another deal here, but just curious longer term, how you’re adjusting your M&A outlook. What are prices or valuations looking like in, especially in the private markets? Have they started to come down in more alignment with the public market valuations? Or are you still seeing a disconnect and how are you approaching that from the overall M&A strategy? Thanks.
Nicolaas Vlok: I think last time we talked Matt, we were talking about the appetite for M&A. Clearly we have an appetite for M&A. I think the private, public question is starting to become clearer. I think the expectations of the private market are starting to come closer in line with the public market, if not in line. But that doesn’t change our appetite. We’ll continue to look for growth opportunities that are adding value to our customer’s long-term. We’ll continue to look for value opportunities for MeridianLink and OpenClose is a perfect example of that. And so we, again private or public doesn’t really matter as much as how much value it’s delivering to our customers and how much value it’s delivering to our company.
Matt VanVliet: Great. Thank you.
Nicolaas Vlok: Yep. Thank you, Matt.
Operator: [Operator Instructions] Your next question comes from Bob Napoli from William Blair. Your line is open. [Technical Difficulty]
Erik Schneider: Operator, can you stop the line please?
Nicolaas Vlok: Thank you. I think that was somebody else’s earnings call. So
Operator: There are no further questions at this time. I’ll turn the call over to Nicholas for closing remarks.
Nicolaas Vlok: Thank you, Operator. And as a reminder, MeridianLink enables the digital transformation of our customers and an area of spinning they continued to prioritize and we’ve discussed that today. We help our customers get the most value out of their digital spend so they can compete and succeed in the modern marketplace. And we as a company, we as MeridianLink now invasive employees are driven by helping our customers succeed. And that gets noticed.  In fact, MeridianLink was recently named as number 54 on the 2022 Global IDC FinTech 100 ranking. The annual ranking represents world’s leading hardware, software and service providers to the financial services industry. And this was our first year participating. I’m extremely proud of this achievement and I’m confident in our ongoing success. Thank you for joining us today. Back to you Operator.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you disconnect your lines.